Michael O'Leary: Good morning, ladies and gentlemen, and welcome to the Ryanair Q3 Results Conference Call. I'm Michael O'Leary, Group CEO. And as always, I'm joined by Neil Sorahan, the Group CFO. This morning, as you'll see, Ryanair reported a Q3 profit after tax of EUR 115 million, pre-exceptional. [indiscernible] As traffic rose 6% and fares in Q3 rose 4%, and an EUR 85 million exceptional charge has been made in the accounts. It's a provision of approximately 33% for the utterly baseless Italian AGCM fine, which was announced on Christmas Eve, which both we and our Italian lawyers are confident will be overturned on appeal. The highlights of the third quarter include traffic growth of 4% -- of 6% to $47.5 million. Revenue per passenger up 3%, very strong cost control as a result of which unit costs are flat in the quarter. We have 206 million -- 206 Gamechangers in our 643 aircraft fleet on the 31st of December. The last 4 aircraft will be delivered in February. We have announced 3 new bases and 106 new routes for summer '26, and these are already on sale. Fuel is 80% hedged for FY '27 at $67 a barrel, resulting in a very significant 10% saving in our fuel costs next year. And we'll touch briefly on the Italian AGCM baseless fine, which was levied and which we're confident will be overturned on appeal. Touching briefly on a couple of highlights. With almost all of our Gamechangers now delivered, other income in Q3 dipped due to the absence of delivery delay compensation in the prior year Q3. For Q4 of FY '26, our fuel is 84% hedged at about $77 a barrel, but we've now locked in hedging for FY '27 with 80% of our jet fuel requirements hedged at $67 a barrel. This will deliver significant cost savings next year. Over the last 3 years, Ryanair has generated a total shareholder return in excess of 150%, which puts Ryanair comfortably in the top quartile of the Stoxx Europe 600 Index TSR performers. I believe the group will continue to deliver disciplined and consistent capital allocation, and this is underpinned by our strong balance sheet as traffic grows to 300 million passengers by FY '34 with the benefit of our 300 MAX 10 order. Touching briefly on fleet. We have said we expect to receive the final 4 Gamechangers, bringing the total number of game changers to 210 in the fleet before the end of February. Because we're getting these aircraft deliveries early, this facility is facilitating slightly higher traffic growth this year, and we're now raising this year's traffic to 208 million what was previously 207 million. But it also means that we have all of the fleet in place in time for the Summer schedule, and that will allow us, we think, to deliver 4% traffic growth to 216 million passengers next year, FY '27. Boeing expect that the MAX 10 certification will take place this Summer, and they're increasingly confident. In fact, I was very confident they will meet their contract delivery dates to Ryanair for the first 15 MAXs in the Spring of 2027. And we -- that will be the first 15 of 300 of these very fuel-efficient aircraft, which have 20% more seats, but burn 20% less fuel and will enable us to grow profitably out to March 2034. This winter, we've allocated Ryanair's scarce capacity to those regions, countries and airports who are cutting aviation taxes and incentivizing traffic growth, such as Albania, regional Italy, Morocco, Slovakia and Sweden. And we're switching flights and routes away from high-cost uncompetitive markets where they have unjustified aviation taxes like Austria, Belgium, Germany and in regional Spain. This trend of this churn will continue into Summer 2026 as we operate over 160 new routes on sale, and -- we're opening 3 new bases in Rabat in Morocco, Tirana in Albania and Trapani in Italy. Touching briefly on Italy. In late December, the Italian AGCM Competition Authority levied a baseless EUR 256 million fine against Ryanair for our direct distribution to consumers policy in Italy, a policy that we've adopted all over Europe. This fine, we believe, will be overturned it in appeal as it ignores and indeed contradicts the Milan -- the precedent Milan Court of Appeal ruling in January 2024, which ruled that Ryanair's direct distribution model in Italy, one, undoubtedly benefits consumers by leading to lower fares; two, is economically justified in terms of containing operating costs and eliminating costs associated with distribution and ticket sales and the court ruled it contributes to a direct channel of communication for any possible need for information and updates on flights to consumers. And yet the AGCM 18 months later, comes up with this mythical fine alleging that Ryanair is abusing a dominant position when we're not dominant in Italy. Both we and our Italian lawyers are very confident that the Italian courts will overturn this manifestly wrong and baseless AGCM ruling on appeal. And that's why unusually, we normally provide 50% provision in our accounts for legal appeals. In this case, we have lowered that to 33%, which we think is reasonable. In fact, we could just as easily provide nothing for this given the -- our confidence that this ruling will be overturned. In terms of outlook, we now expect FY '26 traffic to grow 4% to almost 208 million passengers due to strong demand and these earlier-than-expected Boeing deliveries. We continue to expect only modest full year unit cost inflation as our Boeing Gamechanger deliveries, fuel hedging and effective cost control helps to offset the increases in ATC charges, higher enviro costs in Europe and the roll-off of last year's modest delivery delay compensation. While Q4 won't benefit from Easter, fares are trending modestly ahead of prior year, and we now believe that the full year fares will exceed our previous plus 7% growth guidance by maybe another 1% or 2%, 8% or 9%. At this stage, we're cautiously guiding full year profit after tax pre-exceptionals in a range of EUR 2.13 billion to EUR 2.23 billion. However, the final FY '26 outcome will remain exposed to adverse external developments in Q4, including conflict escalation in Ukraine or the Middle East, macroeconomic shocks and any further impact of repeated European ATC strikes and mismanagement. And with that, I'm going to ask Neil to take us through the slide presentation. Neil, over to you.
Neil Sorahan: Thank you, Michael, and good morning, everybody. Ryanair has the lowest fares and the lowest cost of any airline in Europe, and our cost gap advantage continues to widen. We're #1 for traffic and are now increasing traffic targets to 208 million passengers this year, which is a 4% increase on last year. Thanks to our strong on-time performance and reliability, we've seen our customer satisfaction scores rise to 89% in the year-to-date, and we continue to be highly rated by all of the ESG rating agencies. With our 300 MAX 10 order book starting to come in from next year, this will underpin a decade of growth to 300 million passengers by FY '34. And that, of course, as always, is underpinned by our financial strength, our lowest costs, and this makes us the long-term winner in our sector. This is a snapshot of where we stand at the moment, including 3 new bases for Summer of 2026. So 208 million passengers in the current year, 300 million passengers by FY '34. Our costs, as I already said, continue to improve, continue to get better with a strong performance in Q3. And over the next number of years, with 300 MAX 10s coming in with 20% more seats, 20% more fuel efficiency, this advantage is only going to get better. On the quarter itself, we saw traffic increase by 6% to 47.5 million passengers at flat 92% load factors. Average fare rose 4%, thanks to a strong midterm break in October, but more importantly, close-in bookings for Christmas and the New Year also were strong. Revenue as a result, up 9% to EUR 3.21 billion in the quarter to the end of December. On costs, excluding the AGCM provision, which Michael has gone into in some detail, we saw unit costs remain flat or total costs increased by 6% to EUR 3.11 billion. And profit after tax, pre-exceptional, down 22%, primarily due to the absence of Boeing delivery compensation tanks and catching up on their order book. So coming in at EUR 115 million profit in the quarter and EUR 30 million after that AGCM fine provision for the 33% that Michael referred to earlier on. Balance sheet remains rock solid, a fortress balance sheet, BBB+ a strong investment-grade rating from Fitch and S&P, uniquely, almost 620 Boeing 737s fully unencumbered on the balance sheet. Liquidity remains very strong with EUR 2.4 billion gross cash and EUR 1 billion net cash at the end of the quarter. And that puts in a very, very strong position now as we move into the next financial year in April to pay down our final bond, the EUR 1.2 billion maturing bond in May 2026 from our own cash resources, effectively making the Ryanair Group debt-free. I'd just like to briefly focus on our total shareholder return. Over the past 3 years, we've delivered a TSR up 153%, which puts us firmly in the upper quartile of the Euro Stoxx 600. In fact, we're in a small club of 3 companies in Europe, which can boast a net profit in excess of 15%, investment-grade ratings, net cash and TSR over 150%, while at the same time, investing in growth, delivering consistent and disciplined returns to our shareholders. And we expect this model to continue for the years to come. With that, maybe, Michael, you will take us through current developments, please.
Michael O'Leary: Okay. Thanks. So as we've set out, we expect FY -- we're raising slightly FY '26 traffic, up 4% to 208 million, thanks to the earlier Boeing deliveries and strong demand. We are using our constrained capacity to engage in more churn. So we're switching scarce capacity to those airports and regions who cut taxes and fees to grow. Our full FY '26 schedule is on sale from the end of March with 3 new bases and 106 new routes. Most exciting is the fact that we're -- we've hedged 80% of our fuel for FY '27 at just $67 per barrel, a 10% saving. There's an interim dividend of just over $0.19 per share payable in late February. And as Neil has said, we've completed 46% of the EUR 750 million buyback by the end of the third quarter. We are ready and have the resources to repay the final EUR 1.2 billion bond in May. Thereafter, we're essentially debt-free. And we are actively planning for the MAX 10 entry into service in the spring of 2027, and we now believe that Boeing will hit those delivery dates. And the critical thing about those aircraft is that they allow us to engage in a decade of low fare profitable growth of over 50% to 300 million passengers by FY '34. In terms of the Boeing numbers, as I said, we've already covered this off, with 206 Gamechangers in the fleet, 4 more coming in February, Boeing expect the MAX 10 certification to take place in late summer of 2026. We expect now to get the first 15 MAX 10s in the spring of '27. And that, as I said, gives us a decade of growth out to 2034. In terms of outlook, Neil, do you want to finish on that?
Neil Sorahan: Yes. Thank you, Michael. So as Michael said, traffic marginally ahead of where we previously guided. So 208 million passengers, 4% increase on last year, primarily due to the earlier delivery of those MAX 8-200 aircraft and strong demand in the business. Fares now look like we'll be ahead of the 7% fare growth that we previously guided, possibly 1% or 2%, which is well ahead of the minus 7% fare decline that we suffered last year. So fully recovered and then some growth on top of that. Unit costs have performed well year-to-date. So we're sticking with our modest unit cost inflation for the current financial year. We'll continue to see the benefits of our fuel hedging offset rising ATC environmental and indeed, the unwind of the Boeing compensation with no Boeing compensation in the second half of this year. So putting that all together, we're now cautiously guiding profit after tax pre-exceptionals for the full year in a range of EUR 2.13 billion to EUR 2.23 billion. Beyond that, we're now in a very strong position to deliver 216 million passengers next year. That's a 4% increase. We'll see the benefit of our fuel hedges, 10% savings coming through on the jet price help offset some of the rising environmental costs. And importantly, with the MAX 10 now due to join the fleet in the spring of 2027, we're ramping up for a decade of growth to 300 million passengers over the next number of years. Thank you very much.
Unknown Analyst: Michael, Neil, starting with your results. Ryanair reported Q3 PAT of EUR 115 million, pre-exceptional, down 22%. What were the key drivers?
Neil Sorahan: With a strong operating performance in the business, we did, however, not have any Boeing delayed compensation in this quarter, having had it in the prior year comp. That's down to Boeing catching up on the deliveries and effectively no need for compensation. But if we look at the operating performance, very strong traffic up 6% to 47.5 million passengers at 4% higher fares, driven by strong midterms in October and strong close-in bookings for Christmas and the New Year. Ancillaries, as has been the trend all year, put in another solid performance, rising 7% or up 1% on a per passenger basis. And I'm particularly happy with the cost performance where we delivered flat unit costs pre-exceptional charges in the quarter.
Unknown Analyst: You provided for 33% or EUR 85 million of the Italian AGCM fine. Will you provide for the balance of this fine in Q4?
Michael O'Leary: No. In this case, normally, our policy is to provide about 50% for these kind of legal fines when they're under appeal. However, in this case, with the benefit of the Milan Court of Appeal precedent ruling, which was just less than 18 months ago, our lawyers and ourselves in Italy are highly confident that this AG -- manifestly wrong AGCM ruling will be overturned on appeal. In fact, we could, given the strength of the advice we have not made any provision at all, but I think that would have been a bit too ambitious. It seems to both me and the Board that it's sensible to provide about 33%, and we don't expect to be making any other provisions. In fact, we expect to be writing back that provision to the P&L sometime in the next year or 2, which is how long we expect the appeal will take.
Unknown Analyst: Can you update on your hedging position?
Neil Sorahan: Yes, we continue to be very well hedged. In the current quarter to the end of March, we're about 84% hedged at $76 a barrel. But more importantly, when we look into next year, we're 80% hedged on our jet fuel at $67 a barrel. So that's about a 10% saving. On operating expenditure, the euro-dollar exposure, we're locked in now for next year at about EUR 1.15, which compares favorably to EUR 1.11 in the current year. And we recently jumped on dips -- weakness in the dollar to extend our MAX 10 hedging from up to 40% on a euro-dollar rate of EUR 1.24.
Unknown Analyst: How is Q4 trading?
Michael O'Leary: Demand is good. As I said with the earlier Boeing deliveries, we're seeing -- we expect traffic to be modestly -- rise slightly faster than we had originally expected. So we expect to do 208 million passengers for the full year as opposed to previously 207 million. Pricing in Q4 is modestly ahead of the prior year despite the absence of any impact of Easter on Q4. But nevertheless, as we've always said, the final outturn is heavily reliant on there being no disruptions as we move through February and March.
Unknown Analyst: Can you give any color on Summer trading and FY '27 costs?
Neil Sorahan: It's a bit too early for that. We're still working through our budget. So it will be another month or 2 before the Board sign off. What I can say at this stage, however, is with all of the Gamechangers expected to be in the fleet by the end of February, we're now targeting traffic next year of 216 million. So that's marginally up on the 215 million that we had previously guided, 4% increase. And of course, we'll see the benefit of our fuel hedges coming through next year as well.
Unknown Analyst: Moving to the balance sheet. What are the main callouts of your strong balance sheet?
Michael O'Leary: I pretty much the same as it has always been. So we have a BBB+ credit rating. We have an unencumbered fleet of almost 620 737 aircraft. Strong liquidity, EUR 2.4 billion gross cash at the end of December, almost EUR 1 billion of net cash, which leaves us very well positioned to repay the remaining bond debt in May this year from internal resources. And it's that financial flexibility that widens our cost gap with most of our competitors in Europe who are heavily exposed either to the aircraft leasing costs or financing expenses.
Unknown Analyst: What's FY '26 and FY '27 CapEx guidance?
Neil Sorahan: At this stage, I think we'll finish FY '26 with CapEx somewhere close to EUR 2 billion. So that's marginally down on the EUR 2.2 billion that we had previously guided where we're seeing some timing issues with a couple of projects moving out 1 or 2 years. And then next year, not much hugely different to what we had previously said, now it depends on the final budget. I think it will come in close to EUR 2 billion, possibly just below EUR 2 billion.
Unknown Analyst: How will you finance the MAX 10s?
Michael O'Leary: As we've always done, we'll use a strong balance sheet and be opportunistic. I would expect mostly it will be from internally generated cash, but we'll also use bond or bank markets when it's opportunistic or low cost to do so.
Unknown Analyst: Shifting to shareholder returns, how is the EUR 750 million buyback progressing?
Neil Sorahan: Yes, it's going well. I mean this buyback is scheduled to run out to the end of the current year. So we're about 46% of the way through it at the end of December. Put that in context, that's about 13.1 million shares bought back at an average price of EUR 26 per share. All of those shares canceled. So about EUR 340 million spend up to the end of December.
Unknown Analyst: When is the next dividend payable?
Michael O'Leary: There's an interim dividend of just over EUR 0.19 per share. That's payable by the end of February.
Unknown Analyst: Ryanair's TSR performance is market-leading. Has focus shifted from investing in growth to shareholder returns?
Neil Sorahan: Well, you're right. It is. It's a phenomenal return of 150% over the past 3 years and putting us firmly in the upper echelons of the Euro Stoxx 600 TSR index. But no, our focus hasn't shifted, and we have no plans to shift our focus. We'll continue to invest in growth. The plans are to have 300 MAX 10s in the fleet and 300 million passengers by FY '34. We've got a very simple capital allocation policy in here. We will retain a strong investment-grade balance sheet. We'll continue to invest in growth. As I said, the MAX 10s, jumping in opportunities like we did last June where we were able to buy 30 spare LEAP engines at the right price, good use of capital for our shareholders. And indeed, we'll invest in engine shops over the next number of years to help widen Ryanair's cost base. But at the same time, as we've done in the past, if there's surplus cash, we'll return that. We already have a 25% payout of prior year PAT regular dividend program. And the Board have and will continue likely to deliver buybacks and ad hoc dividends from time to time over the next number of years.
Unknown Analyst: On fleet in growth, when will you receive your final Gamechangers?
Michael O'Leary: The final 4 Gamechangers will deliver in February, well ahead of the end March launch of the Summer '26 schedule. Kelly Ortenberg, Stephanie Pope and the team at Boeing are doing a great job at catching up those delivery delays, which is why we've seen a significant drop in supplier compensation in the Q3 numbers. But those earlier deliveries mean we can now facilitate 4% growth to 216 million passengers in the year to March 2027.
Unknown Analyst: What's the latest update on MAX 10 certification?
Neil Sorahan: Yes. Boeing are still talking about certification in the Summer of 2026, possibly in Q3 calendar. So that's the July, August, September time frame. And they're increasingly confident, as Michael already said, that we will be taking our first 15 MAX 10s in the spring of next year.
Unknown Analyst: What's your views on European short-haul capacity?
Michael O'Leary: It will continue to be very heavily constrained right out to at least 2030. The drivers are the huge backlog and delivery delays being faced by -- challenges being faced by Boeing and Airbus. The Pratt & Whitney engine repairs continue to be devil the Airbus short-haul fleet here in Europe, that will run on through our competitors, say that will run on into '26 and '27 as well. And industry consolidation, most recently, Lufthansa's acquisition of it, and it looks like TAP will be next, which is causing capacity withdrawal certainly in short-haul and domestic markets in Europe, as Lufthansa pivots the likes of Alitalia to feeding people into Munich and Frankfurt, but away from keep competing with Ryanair in the short-haul domestic and Italian domestic market.
Unknown Analyst: Where is Ryanair most focused on growing?
Neil Sorahan: Yes. We've been very clear. We've got limited growth. We're only growing by 4% this year, and we only plan to grow by another 4% next year. And so we're very focused on rewarding and giving growth to regions that are reducing aviation taxes, airports that are stimulating growth. And if you look at our summer 2026, the new bases are in places like Tirana in Albania, Trapani in Sicily as well and Rabat in Morocco. At the same time, we're pulling capacity out of markets where they're actually increasing taxes or at least not bringing them down the likes of Austria, Belgium, Germany, regional Spain. And we'll continue to do so while capacity remains constrained.
Unknown Analyst: What's the latest update on your engine shop project?
Michael O'Leary: Going well. We expect to announce the first of 2 sites pretty soon. I'd say we'll make an announcement before the end of March or April. Negotiations for spare parts and tooling to fit out those engine shops are at advanced stages. In fact, again, we expect to be signing contracts on those before the end of, I would say, the first quarter or the end of April. And we hope and expect to have the first shop operational overhauling or repairing Ryanair engines by late 2028, early 2029. The second shop will be opened probably in the early 2030s. And this will give us another point of cost differentiation between us and our competitors. While our competitors will be having their engines maintained in very scarce supply third-party engine maintenance facilities. We will have surplus capacity and I think a significant advantage in -- cost advantage in maintaining our engines over those of our competitors.
Unknown Analyst: Lastly, on outlook, what's the group's FY '26 outlook?
Neil Sorahan: Yes, we expect traffic now to finish at about 208 million passengers, 4% growth on last year, thanks to the earlier delivery of the Boeing aircraft and strong demand. On fares, we think we're in a position where we'll recover not only all of the 7% that we saw decline last year, but another 1% or 2% on top of that. So ahead of our previous guidance. On costs, performance has been good year-to-date. So we're sticking with our modest unit cost inflation for the full year, where we'll see the benefit of our fuel hedges continuing to offset air traffic control charges, increasing environmental costs and indeed, the roll-off of Boeing compensation with no delayed compensation in the second half of this year. So putting all of that together, profit after tax, pre-exceptional, the AGCM fine provision, profit after tax should be somewhere in the range of about EUR 2.13 billion to EUR 2.23 billion. And then beyond that, 4% traffic growth again next year to 216 million passengers. You see the benefits of our lower fuel hedging coming through. And then, of course, with the MAX 10 aircraft starting to deliver from the start of 2027, we'll have another decade of growth to 300 million passengers by FY '34.
Michael O'Leary: Thanks, Neil. As you know, it's the Q3 results, so we're not having a formal roadshow, but there is an analyst call at 10:00 -- later this morning at 10:00 a.m. Dublin time. Everybody is welcome to dial in. And if you have any further follow-up questions, please put them to us during that call or feed them into the IR team here led by Jamie Donovan or through Neil and the finance team. Thank you very much. We look forward to seeing you all again.